Operator: Welcome to the Novozymes conference call regarding the interim report for the first 9 months of 2023. [Operator Instructions] Today, I am pleased to leave the word to Tobias Cornelius Björklund, Head of Investor Relations. Please begin your meeting.
Tobias Cornelius Björklund: Thank you, operator, and welcome, everyone, to Novozymes conference call for the first 9 months of 2023. My name is, as mentioned, Tobias Cornelius Björklund, and I'm heading up Investor Relations here at Novozymes. At this call, our CEO, Ester Baiget; and our CFO, Lars Green, will review our performance and key events of the first 9 months of the year as well as the outlook for the full year. Also attending today's call are Tina Fanoe, EVP, Agriculture & Industrial Biosolutions; Amy Byrick, EVP, Strategy and Business Transformation; Anders Lund, EVP, Consumer Biosolutions; and Claus Fuglsang, CSO and EVP of Research and Development. Then entire call will take about 60 minutes, including time for questions at the end. As always, I would like to remind you that the information presented during the call is unaudited and that management may make forward-looking statements. These statements are based on current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in any forward-looking statements. With that introduction, I'll now leave the word to Ester Baiget, our CEO. Ester, please.
Ester Baiget: Thank you. Thank you, Tobias, and welcome, everyone. If you could please turn into Slide #3. Overall, the first 9 months were much in line with expectations, and we delivered organic sales growth of 5%. Reported volumes declined by 1% while underlying volumes were roughly flat, and pricing was positive by roughly 6%. In the third quarter, organic sales growth stood at 8%, with pricing at around 5% and volumes growing by roughly 3%. Pricing for both the first 9 months and the third quarter continued to be roughly similar across business areas, although slightly less positive in Household Care. The overall growth development was very much in line with expectations from the beginning of the year, with an expected stronger second half of the year, which is confirmed so far through the results we are presenting today. The well-diversified portfolio of solutions and broad market exposure provides a stability in current volatile end markets. The strong 8% organic sales growth in the third quarter was driven by Bioenergy; Food, Beverages & Human Health; as well as Household Care. Agricultural, Animal Health & Nutrition also performed well, whereas Grain & Tech Processing was more challenged. The ongoing destocking in the food-related part of the business is gradually leveling off, which is part of the explanation for the third quarter 7% organic sales growth in Food, Beverages & Human Health. Also, Human Health grew nicely in the quarter. Innovation, new product launches and market penetration were other factors driving our performance across all business areas. Next, we maintain a solid 4% to 6% organic sales growth outlook for the year. We are fully on track to deliver our full year gross margin that will be roughly flat compared to 2022 as price increases and productivity improvements are offsetting the effect from higher input costs. With the third quarter gross margin being on par with the same quarter last year, we expect an expansion in the fourth quarter. We delivered a strong 26.6% EBIT margin before special items in the third quarter and 25.5% after the first 9 months. The performance was in line with expectations and well aligned with our full year EBIT margin outlook before special items between 25% to 26%. Net, we are in a good place when it comes to earnings and returns. And we maintain the full year outlook for both: EBIT margin before special items at 25% to 26% and ROIC including goodwill before special items at 16% to 17%. The free cash flow is strong at DKK 1.1 billion in the third quarter, with improving working capital as key reason for the development, much in line with expectations. On October 17, we paid an interim dividend to honor Novozymes shareholders ahead of the closing of the combination with Chr. Hansen. Besides delivering on our business targets, we are also focused on promoting biotechnology as part of the answer of many of the world's issues. At the United Nations' General Assembly in September, we were able to speak and listen to companies, organization and policymakers about what biotechnology has to offer in a world of increasingly scarce resources and as an enabler of future job creation. Decarbonization, planetary health and human health continue to be high on the world's agenda. And given Novozymes' toolbox, we are part of the solution for a better future. As a final introductionary remark, we are progressing very well on closing the combination with Chr. Hansen. Timing, it's still for Q4 2023 or Q1 2024. And with approvals now received in all relevant countries relating to the merger agreement, except for South Korea and the EU, we are in a good spot. [Technical Difficulty] Growth was driven by continued innovation and penetration across both developed and emerging markets, more than offsetting the negative impact from industry volume softness and the war in Ukraine impacting the first quarter. Growth in developed markets was driven by innovation, including the Freshness technology, and performance was good in both laundry and dishwash. Softer consumer demand and outtrading had a negative impact on our volumes, but the volume stabilized on the third quarter. In emerging markets, we continue to see penetration of enzymatic solutions as the main growth driver, with a stronger growth in Latin America, Middle East and Africa. Pricing had a positive impact. Organic sales growth in the third quarter was solid at 6%, supported by pricing. We continue to bring value to our customers through innovation, and we saw the effect of this in the third quarter as also industry volumes stabilized after softness over the previous 12 months due to lower consumer demand in developed markets as well as downtrading. Growth in emerging markets was driven by penetration of enzymatic solutions, led by the Middle East and Africa. The full year organic sales indication for Household Care is maintained at low single-digit growth. We expect performance to be driven by enzymatic penetration in emerging markets and also expect the Freshness platform to continue to contribute to growth. The outlook includes the expectation that consumer downtrading continues to stabilize as well as stable in market volumes in developed markets for the remainder of the year. Finally, we expect pricing to continue to contribute to the full year developments. Please turn to Slide #5. Thank you. Food, Beverages & Human Health declined 2% organically in the first 9 months of the year. Sales were negatively impacted by roughly 3 percentage points as the first quarter comparator included sales of a specific enzyme solution which is not expected to be sold this year. Adjusting for this effect, we saw modest growth driven by a positive impact from pricing. Destocking across the value chain in Food & Beverages in combination with weakened end market demand had a negative impact. Excluding the Q1 comparator impact, Food had the relatively strongest performance of the sub areas, including a positive impact from recent innovation in baking. Human Health was soft as supply chain constraints impacted our ability to accommodate demand in the more robust health care practitioner channel. And additionally, there was a general softness in North America demand for probiotic solutions. Looking at the third quarter, Food, Beverages & Human Health was up by 7% organically. Growth was driven by pricing, and volumes were supported by innovation with a solid performance in Food driven by baking. Additionally, the third quarter had a softer comparator. The negative impact from destocking in the value chain across subareas has started to level off compared to previous quarters. Human Health grew as momentum was building after supply chain constraints had impacted our ability to accommodate demand in previous quarters were resolved. And additionally, growth was supported by a gradually improving North American probiotics market. For the full year, we maintain our indication of organic sales growth in the low single digits, with growth driven by pricing and supported by product launches in Food. The indication is based on the continued leveling off of destocking in the fourth quarter as we already experienced in the third quarter. Human Health is continuously expected to see a growth acceleration in the second half, supported by the gradual improvement in North American probiotics market and resolved supply chain constraints. Please turn into Slide #6. Thank you. Bioenergy sales grew 25% organically in the first 9 months. The strong performance was supported by solid market fundamentals and driven by the continued penetration of innovation and geographical expansion. Growth was driven by innovation and strong penetration in North America, creating additional value for our customers. Ethanol production is estimated to have an increase by 1% according to the EIA. Growth also benefited from capacity expansion of corn-based ethanol in Latin America and biodiesel. And we saw very strong growth in enzymes used for biomass conversion, commonly referred to as second-generation biofuels, although from a small base. Additionally, pricing had a positive impact. The third quarter organic sales growth of 21% was ahead of our expectations and driven by factors similar as those provided for the year-to-date development and supported by continued solid market fundamentals, including volume growth in North America and ethanol production of 6% year-on-year according to EIA. Looking at the full year, we now expect growth around 20%, following a stronger-than-expected year-to-date performance driven by stronger market fundamentals and faster penetration of recent innovations. Growth for the year will be driven by pricing, market penetration, enabled by innovation, capacity expansion in Latin America and market penetration in biodiesel. Additionally, we expect growing sales from second-generation biofuels. The outlook assumes flat U.S. ethanol production. Could you please turn to Slide #7? Sales in Grain & Tech Processing declined 9% organically in the first 9 months, driven by the decline in Tech. Tech was negatively impacted by significantly lower sales of enzyme for COVID-19 test kits as expected and a much softer than expected textile market. Performance in Grain was driven by increased market penetration in vegetable oil processing and continues to be underpinned by our innovations. This was offset by a softer grain market impacted by destocking. Pricing had a positive impact in both Grain and Tech. Third quarter organic sales declined 3%. Positive pricing across the business area and growth in vegetable oil processing was more than offset by a decline in Tech driven by a soft textile market and expected lower sales in enzyme for COVID-19 test kits. The grain processing subarea continued to be somewhat impacted by destocking in the food value chain as this business area is further down the food value chain. Looking at the full year, we now expect growth to decline in the high single digits from previously low single digits. Performance is expected to be supported by pricing and growth in vegetable oil processing led by market penetration, whereas performance in grain processing is expected to be softer. Tech is expected to decline, driven mainly by reduced sales of enzymes for COVID-19 test kits and a much softer-than-expected textile market following a slower recovery in global textile production. Could you please turn to Slide #8? Thank you. Agricultural, Animal Health & Nutrition sales increased 7% organically in the first 9 months driven by Animal Health & Nutrition and supported by pricing. Growth in Animal Health & Nutrition continued to be driven by innovation, with recent product launches doing well and higher end market-driven demand from our sustainable solution. Performance in Agricultural was soft, impacted by destocking in a volatile end market. Third quarter organic sales were up by 6%, supported by both Animal Health & Nutrition and Agricultural, including positive pricing. Animal Health & Nutrition continued to be the solid performance driven by the same factors as for the first 6 months, while Agricultural benefited from a soft competitor while still being impacted by destocking. For the full year, we maintained the indication at mid- to high single-digit growth, led by Animal Health & Nutrition. Growth will be driven by pricing, innovation and market growth and increasing demand for sustainable solutions. And with that, I will hand over to Lars for a review of the financials. Lars, please?
Lars Green: Thank you, Ester. Please turn to Slide #9 for a review of our financial performance. Sales grew 5% organically and 2% in reported Danish krone in the first 9 months. Currencies and divestments provided a 3-percentage-point headwind during the period. For the third quarter, sales grew by 8% organically and increased by 2% in Danish krone as currencies and divestments had a 6-percentage-point negative impact. Pricing benefited by around 6% for the first 9 months and by roughly 5% in the third quarter. The gross margin was 54.4% in the first 9 months. This was 0.5 percentage point below last year's gross margin for the same period, mainly due to the high input costs and partly offset by continued progress in pricing and productivity improvements. The third quarter gross margin was 53.8%, which was on par with the same quarter last year. We had some energy-related hedging contracts impacting the P&L, particularly in the third quarter. This was fully aligned with our expectations and included in our view for the full year, where we expect a flat year-on-year gross margin. The EBIT margin before special items for the first 9 months was 25.5%. The decrease of 190 basis points from last year was mainly related to lower other operating income and the lower gross margin as well as slightly negative currency impact. The underlying EBIT margin before special items for the first 9 months was slightly higher than 25%, which was roughly 1% below that in 2022. Here, we adjust for the positive effect from the wastewater divestment and the negative one-off costs associated with the resource alignments in the commercial area, both of which occurred in the first quarter of 2023 as well as adjusting for the large positive effect from the 21st.BIO accounting gain in Q3 of last year and other small one-off adjustments from the first half of 2022. The underlying lower margin was primarily driven by a lower gross margin as well as increased investments in our commercial footprint and future growth opportunities, and currency effects were slightly negative for the period. Looking at the third quarter. The EBIT margin before special items was 26.6%, which was lower than in the same quarter of last year. While there were no noticeable one-offs in the third quarter of 2023, there was a significant beneficial one-off in the third quarter of last year, which was the income from the 21st.BIO accounting gain. Adjusting for this, the underlying EBIT margin before special items in the third quarter was slightly more than 1 percentage point higher than that of last year. The improvement was the result of a lower OpEx-to-sales ratio, while currencies had a negative impact. In the first 9 months, special items impacted the reported EBIT margin of DKK 374 million. For the third quarter, the impact on the reported EBIT margin was DKK 162 million. In both periods, the special items were entirely due to costs related to the proposed combination with Chr. Hansen. Net profit for the first 9 months amounted to DKK 2.3 billion. The decrease compared to the same period last year was mainly due to lower other operating income with the divestment of Albumedix being in the Q3 comparison. Also here in the third quarter, costs related to special items were higher and so was the effective tax rate compared to 2022. ROIC, including goodwill before special items, ended at 16.3% after the first 9 months compared to 17.9% for the same period last year, explained by a lower profit, primarily explained by lower positive year-on-year one-offs and higher invested capital. Free cash flow excluding acquisitions was DKK 1.6 billion in the first 9 months, including DKK 1.1 billion in the third quarter. The 9 months development was roughly DKK 100 million better than for the same period last year as net investments were lower as expected. In the third quarter, free cash flow improved by DKK 600 million year-on-year as both net investments and working capital improved, the latter from lower inventories and higher payables. Now please turn to Slide #10 for an update on the 2023 outlook. After 5% organic growth in the first 9 months, we maintained the full year outlook for organic sales growth of 4% to 6%. Sales in Danish krone are expected to be around 3 percentage points lower. For the full year, we expect growth to be driven mainly by pricing with a similar impact across most of the business areas. The sales outlook is based on a number of assumptions, including destocking continuing to level off as experienced in the third quarter. Turning to gross margin. We continue to expect a similar level to that of 2022. While we have started to see an easing of certain input costs from the peak levels, there was still a negative impact on the margin this year due to the delayed P&L effect of some of these higher costs. This delayed effect was also seen in the third quarter, especially with respect to energy-related hedging. However, we expect a sequential gross margin improvement into Q4 as the peak of input costs now is behind us. The outlook for the EBIT margin before special items remains at a solid 25% to 26%. The margin will benefit from price increases, sales growth and productivity improvements, whereas continued investments in the business and considerably higher input costs are expected to have a negative year-on-year impact. The outlook for the return on invested capital, including goodwill and before special items, is unchanged at 16% to 17%. For the modeling assumptions, we adjust net financial cost from around DKK 200 million to now around DKK 100 million and reduced the effective tax rate from around 23% to now between 21% and 22%. The net financial costs are now lower because we have adjusted the value of the earnout model for the previous owners of PrecisionBiotics Group as the aggressive targets on which we base the provision -- or the previous owner's earnout were not fully met. Additionally, we have settled a long-standing tax case for accumulated interest income supporting net financials, and it also provides a lower effective tax rate for the year. The modeling assumption for free cash flow before acquisitions is narrowed to DKK 1.8 billion to DKK 2.2 billion due to expectations that special items will now be in the range of DKK 0.5 billion to DKK 0.7 billion. The level of net investments is unchanged and includes around DKK 400 million for the final year of construction of the Advanced Protein Solutions facility in Blair, Nebraska. Now let me take you through a few updates and key milestones on the process to combine with Chr. Hansen. Please turn to Slide #11. As you've already heard, we see good progress in the work on closing the deal with Chr. Hansen. Since our last consolidated update, we have seen numerous developments. On October 10, we announced the leadership team for the new company, combining the strength of Novozymes and Chr. Hansen. On October 17, we paid out an interim dividend of DKK 4.20 per share for the period January 1 to August 31, honoring existing shareholders ahead of the combination. We have, since the previous update, additionally gained regulatory approval in China, Brazil and Turkey. South Korea and the EU are now the only jurisdictions outstanding from a merger agreement point of view, and we officially filed with the European Commission on October 20. In addition, we are successfully running more than 20 different work streams in areas such as operating model, synergy delivery, finance and IT as well as culture and change management to mention a few. People from both companies are involved across the work streams, and we are progressing very well on being ready for day 1 as a combined company, with closing still expected to happen in Q4 of '23 or Q1 of '24. With this, I'll now hand back to Ester for wrap up. Ester, please?
Ester Baiget: Thank you. Thank you, Lars. Could you please turn to Slide #12? Thank you. Let me summarize our main messages today. We delivered solid performance after the first 9 months, including 8% organic sales growth and 26.6% EBIT margin before special items in the third quarter. We are delivering according to overall expectations and in line with our view from the Q2 announcement including, so far, with accelerating performance in the second half. As you can see from the results, destocking in the food space is leveling off. And in the third quarter, we are growing well in 4 of our 5 business areas. The results we are presenting today are another proof point of the strength of our well-diversified portfolio and broad market exposure, with similar profitability across business areas. Finally, the work to close the combination with Chr. Hansen is progressing very well and according to plan. We have announced the executive leadership team and organizational structure for the new company. We are combining the right capabilities to deliver superior long- and short-term performance, including the execution of synergies. The team is equipped to deliver strong value creation and bringing together innovation and commercial excellence in a world in need of mobile solutions. Additionally, we have now gained -- or filed for regulatory approval in all main jurisdictions according to the merger agreement, including the official filing with the EU Commission on October 20. We continue to expect closing to take place in Q4 2023 or Q1 2024. Novozymes is uniquely placed to enable the transition towards a more sustainable world. This will be to the benefit of customers, consumers, shareholders and the world we live in. Together with Chr. Hansen, we can enable this transition faster and with a greater impact. Before I open -- we open to Q&A, I would just like to share a few words on Lars as this is the last investor call before Lars leaves to spend more time with his family and personal, nonexecutive career. Rainer Lehmann, our incoming CFO, is joining us on November 1, and Lars will be here to secure a good handover with him. Lars has been a copilot and a partner to me and to Novozymes, and I will miss him and his professionalism, but I, nonetheless, also understand his decision. During many years with Novozymes, both as a member of the Board and, most recently, as a trusted and professional colleague as our CFO, he has been a resilient, respected leader across the organization. I would like to thank you, Lars, both personally and on behalf of Novozymes for your service, dedication and contributions. I will miss you, Lars, and I wish you the very best in your future endeavors. And with that, I would like to, operator, please open for Q&A.
Operator: [Operator Instructions] Our first question is from the line of Gunther Zechmann from Alliance Bernstein.
Gunther Zechmann: Lars, you mentioned hedging in your prepared remarks. Can you please share how much of your raw material and especially energy costs are locked in for next year and at what level? And secondly, just to get a better feel for the underlying growth in Food, Beverage & Human Health, can you give us an update on the supply chain constraints we've been talking about a couple of quarters now in Human Health? And also in Food & Beverage, to what extent do you feel that destocking was still a factor in Q3, please?
Ester Baiget: Lars?
Lars Green: Yes. So on hedging, we are sort of building our hedging position in advance of 2024 in line with what we have also done historically so that when we enter 2024, we expect to have a hedging position of roughly 70%, maybe 80% of our expected consumption. And the level of cost or the price of these are obviously coming down compared to the peak levels we saw in 2022. So we are taking advantage of the lower energy costs in that hedging position and, therefore, do expect to see an improvement as we enter 2024. But remember, everything comes with the delay of our sort of inventory running through and, therefore, with a 6 months delay approximately compared to when we actually procure the energy cost. So that's how we prepare for that in 2024. And on your second question, on the Food, maybe Anders?
Ester Baiget: Anders, do you want to maybe build on the Food question, please?
Anders Lund : Yes, I'll do that. So on destocking in Food & Beverages, it's part of the improvement in the results that we see. So clearly, we are seeing it leveling off, and it is improving. It's not completely done yet, and there are still customers where we have to burn through a little bit of inventory. But clearly, it's a significant contributor to the better numbers of Q3.
Amy Byrick: And maybe I can just build on the question on the supply chain constraints in Human Health. We do see momentum building quarter-on-quarter as we grow back, and the supply chain constraints are resolved at this point, and we see momentum continuing to build in the business.
Gunther Zechmann: Lars, all the best for your future.
Lars Green: Thank you, Gunther.
Operator: Our next question is from the line of Søren Samsøe from SEB.
Søren Samsøe: Two questions. First of all, in terms of your project on advanced proteins and your new factory, can you tell us when we will see the first supplies to this large customer in the U.S.? And also how fast will the ramp-up be? And I noticed that you have also announced a few sort of other customers within advanced alternative proteins. Maybe talk a little bit about how and when we should expect any sales to them? And then my second question is on the sort of volume/price development, a strong -- clearly stronger volume development in Q3 and still strong price. How should we think about this for the rest of the year?
Ester Baiget: Thank you, Søren. I'll briefly comment on the volume and then pass it to Amy to build on the proteins plant and the evolving of the platform. We do feel very, very pleased on the results year-to-date where we see both volume and price as a contribution of the growth and the strong revenue we've seen in both the quarter and year-to-date, and we continue to see that momentum. We mentioned in the past that price is something that's going to stay with us. It will be this year the stronger comparison contributor to growth. But we will continue to focus our investment on the growth in emerging geographies, the penetration of innovation, and volume will be a driver of the growth for the long term and the sustainable growth of Novozymes. And Amy, if you want to build on the progressing and the good momentum already in proteins, please?
Amy Byrick: Absolutely. Yes. So I mean pleased, first of all, on the success of the construction of the facility in Blair. And we see we are in the position right now of starting to run trials and qualify the sites. So we fully expect to see first sales in Q1 in 2024. And then as we’ve said, I mean, we are ramping up over a 5-year period towards our ambition of DKK 1 billion of sales in 5 years. That will be, of course, a gradual ramp-up. But we see those sales and are confident to be able to start seeing those sales in early next year. More detail of exactly how that ramp-up will come, we’ll discuss when we give an outlook in February for 2024.
Operator: Our next question is from the line of Lars Topholm of Carnegie.
Lars Topholm : Congrats with the results. And the growth in Bioenergy now means Tina owes me drink. So that's excellent. Two questions from my side, one on the margins in connection with your comments on energy hedges. There are 2 other moving parts. So if I look at Q3, the cost ratios for both sales and distribution cost and R&D expenses are down. Is that a new sustainable level so that cost leverage will contribute to the margins next year? And how will the alternative protein plant coming onstream affect margins to begin with? And then the second question is on the earnout with PrecisionBiotics. I can also see your minority interest has gone from a charge to an income. So I just wonder if there's any underlying problem in that company.
Ester Baiget: Thank you, Lars. Also, I see Tina here excited about the short-term future ahead of you too, and then I'll pass the word to Lars.
Lars Green: Yes. So on the margins, we have, in the third quarter, seen an absolute lower spend in those cost items, as you say, Lars. That is driven by currencies. So we sort of continue to invest in our business. Obviously, the growth rate and the leverage that we get from the top line is important for the development of our margin. So we also get a benefit from that here in the third quarter. So we feel we are well on track to deliver, first of all, to our outlook for the year, obviously, at 25% to 26%, with our 25.5% year-to-date, but also to deliver to our long-term target of at least 26% as a stand-alone business by 2025. So we feel that with the combination of the higher input cost being behind us, and therefore, an opportunity to continue to see expansion in the gross margin will still allow us also to invest in the business and still deliver both the profitability but also the growth that we are looking at for the business in the long term. On ASP, that's, of course, one of the components of the business in isolation. Obviously, from the beginning, we will have a relatively lower margin as there is lower volumes. But as we sort of see the factory sort of pick up, then we do expect the margin also to improve. And as we have previously said, we expect it to contribute positively to our margin after 3 years. So during the ramp-up, it will be lower but, of course, only one of many factors of the total business.
Ester Baiget: And maybe building on both Amy's previous comment and Lars' comments, please, let's remind us that we're talking about the pipeline here on protein. Yes, the launching that we're making now, the first, it goes mainly from our anchor customer. But it's a long-term, fruitful seeds that the ones that we're planting here, from also the combination of the partnership with Arla and many others to come that will lead then together with the DKK 1 billion commitment that we made when we launched this platform.
Lars Green: And on your second question, Lars, on the earnout. So as I said in my notes here, so we had, at the time of acquisition, set some very aggressive targets for the former owners of PrecisionBiotics Group. And as we can now sort of see that it is unlikely that they will be fully met, we have adjusted the earnout provision in our accounts. This is still reflecting a very solid performance of PrecisionBiotics Group. So there is nothing wrong in the company. On the contrary, we see PBG, or PrecisionBiotics Group, as an important contributor to our overall Human Health business.
Lars Topholm : And on the minorities, I guess, that's Synergia Life Science that affects that number. So maybe a comment on why it's now a DKK 7 million income rather than a charge.
Lars Green: So it's true that it is a Synergia where we are only holding roughly 60% of the shares and, therefore, have a minority interest. I think the number is a relatively small one. So I think there is no signal in whether or not it's a small income or small expense. So I don't think you should read anything into that from sort of a performance or success perspective.
Lars Topholm: Lars, good luck going forward.
Lars Green: Thank you.
Operator: Our next question is from the line of Chetan Udeshi of JPMorgan.
Chetan Udeshi: I had two questions. First one, I'm just looking at the split of your special items. And I see there is a bigger integration cost element to the special items and the transaction costs. And I'm just curious, how can you have integration costs even before the merger has actually closed? So what are you actually doing as part of this integration cost line? Maybe can you just elaborate on that? And the second question was, can you talk about your competitive dynamics across your different businesses? Because we've seen a few of your competitors going through a more difficult integration process themselves. I mean is that giving you some sort of a market share advantage at this point? But just any comments on how you see the competitive dynamics across your businesses in general.
Ester Baiget: Very, very good questions, Chetan. Let me maybe start building on them, and then I'll let Lars nail them to the even further details. On your questions of the special items and why are we spending already, well, there is a journey from signature to closing, and there is a journey of readiness. So we start -- and when we combine the 2 companies, we are ready in day 1 to start materializing on the synergies and to operate as a one single company. And that goes from a framing the right culture, defining the operating model, creating the IT systems, the finance in place, all the capabilities that we will be able to run as an amazing company starting in day 1. What I can tell you is that we're well on track on what we promised and what we saw, what we said and the commitments of how much we would spend. And then that the number will be in alignment with the original expectations. But yes, we have to have some expenses already in place. We have 20 -- more than 20 work streams from representative from both companies that they are working across all the areas to get us ready. And we also have support from external advisers, and that help us on that journey. Regarding the competitive environment, yes, it is true that there's some noise in the industry. I will answer that question just with the boring same way that we always do. We stay firm with our strategy. We believe enormously on the power of biotechnology. We see the value of combining these 2 companies together, and that's the model that we are in. We're not in a one-stop shop. We are not in a -- we're going to provide you multiple solutions. We are in the model of we are giving solutions that generate value for our customers, and they make our -- enable our customers to be better and stronger and also answer the sustainability needs of the planet from both healthier foods and also healthier or more sustainable foods and how to continue to move the world. We stay firm on that strategy. We see the momentum. We see the pull from our customers that they're willing and waiting for the closure to be in place. And that's my, maybe, very best way of answering your question on referring of what we control and what we influence and what we have committed to. And Lars, I'll pass it to you.
Lars Green: Yes. Thanks, Ester. So Chetan, it is simply the cost associated with the teams that we have mobilized to prepare for all of these 20-plus work streams. And so both sort of our fully dedicated own people and, of course, our advisers whom we are sort of working with, those are the costs that we are counting in the integration cost on the special items.
Operator: Our next question is from the line of André Thormann of Danske Bank.
André Thormann : The first is regarding the merger and this EU filing you have been doing. I read in the media that, I think, it was you, Lars, that see this being approved at the 28th of November if there is no postponements. What do you need in addition on this merger if the EU approval goes through on the 28th of November? That's my first question. The second one is on cash flow because I see you take down the indication around DKK 200 million from the top end. And it seems that the effects from this one-off on financial and taxes is approximately net-net with the increased special items. So what's the reason for the lower indication on cash flow?
Ester Baiget : Thank you, André. Yes, in the media, there is the communication of -- some communications that we formally have filed in European Commission. I'm not sure -- I can guarantee you, there's no comment from Lars in that direction, but I'll let him reinforce that. And then what the communication says and what we can reinforce is that we have formally filed in EU. That has -- and that's the one step more on the journey of -- since the moment that we signed, a very good collaboration, very good communication, very good dialogue with the European Commission. And that now with this filing formally in place, we feel -- if not even a more place of comfort but same or higher place of comfort that we are on the right track for closing in Q4 or in Q1 2024. And that's what we say originally, and we stay exactly in the same position as we were when we signed, with a good dialogue with the European Commission but also with the green light and the granting already from all the other countries that we have already got the green light behind. And Lars, if you could just...
Lars Green: Yes. And just to confirm what Ester said, I think the date late November that you can see on the commission’s homepage, that’s a date in the process and sort of does not define day 1 of the new company. So just to make that clear. On cash flow, it’s true we have taken down the upper end of the range by the roughly DKK 200 million that is also the same amount we have lifted the bottom of our special items. So that is sort of the logic in that adjustment. On the net financials, remember, the income there is not cash-generating. That is an adjustment of our provision. So that is not cash-generating, and then there is sort of not necessarily a cash flow effect in ‘23 from the adjustments on the tax rate. First of all, the part of it is because the earnout provision is not taxable, and therefore, that is an adjustment that again does not carry a cash impact. And so the majority of that change is not cash-generating, and that’s why we are not reflecting that in our cash flow guidance.
Operator: The next question is from the line of Ranulf Orr of Citi.
Ranulf Orr: I just wanted to come back to the destocking point. And I was just wondering if you could just provide a bit more clarity. What gives you the confidence to make the statement that you see destocking coming to an end? And maybe just for some of the other divisions as well, ag and maybe Household Care, you could touch on where you see the situation for those as well.
Ester Baiget: Thank you. I'll pass the word to Anders and Tina to further build up. But I would say that the best proof point that you can see on destocking is on the results. We said that the first half would be softer, that the second half would be stronger and the destocking would be leveling -- gradually leveling off, and that will be a contributor of the stronger second half. We see that in the market and across the different segments that we are in.
Anders Lund: And maybe adding a little bit of color. If you look at the segments, Food & Beverage, to start out with, we're seeing it improving. We're not saying it's coming to an end. It is gradually. And we are having a lot of dialogues with our customers also because we obviously did -- we saw some surprise during this year. So we've been really, really close with customers in that dialogue, and we get confirmation from more and more customers that they are sort of out and have burned through their stock but not all of them. So that's why we say clearly that -- it's an improvement. It's also why we build it into our expectation full year that, that will be sort of a further improvement of where we are today. On Household, the situation is a little bit different. We have actually burned through, I would say, almost every inventory challenge, and we've actually had that situation for most of this year. So where we saw destocking was actually earlier -- in earlier years in '22 and not in '23. So that's not really been a major challenge in Household Care.
Tina Fanoe: In Agriculture, Animal Health & Nutrition as well as Grain & Tech, we also – we still see destocking. Also in the Grain & Tech, it is a bit further, depending on how you turn it up or down or upstream in the value chain. So therefore, that is expected to come later. And there, we still expect destocking to happen throughout the year.
Operator: Our next question is from Mr. Charles Bentley of Jefferies.
Charles Bentley: So I just have a couple. So just one on pricing. So it sounds like you've still got some inflation in raws coming into FY '24 maybe. So I guess is there an opportunity to put pricing through? And how are those decisions with customers going? And then secondly, just following up on Chetan's question around the integration costs. Should we assume that these numbers, this comes out of the EUR 250 million of integration costs initially indicated? Or is this additional on top?
Ester Baiget: Thank you, Charles. Lars will dwell on your second question, but the answer is yes. And then on pricing, here, we -- important to mention that we don't price cost, we don't price inflation. We price value. The conversations with our customers have been always, since we started stronger the focus on pricing, on the value that our solutions bring in and how to ensure we gather our fair share of value, of the value that we bring in. It comes from productivity improvements from energy savings from enabling clean label, from bringing health features, from enabling lower manure on the animal. It's a value discussion. What we're trying to say here is that, that toolbox, that feature of bringing pricing as a part of the conversation with our customers, not only when we launch but across the life cycle of our solutions, that will continue to stay. You have to take in mind that in the past, many years ago, we used to have 1% to 2% price erosion on revenue, and that -- it's behind us. We move from there to more or less flattish, slightly positive. This year, probably like artificially or higher outlier of 6%, the contribution on pricing. But that's -- we're not expecting that number to continue in the future, but yes, the 1% to 2% erosion on pricing to be behind us.
Lars Green : Yes. And just -- so just to make sure that we have been completely clear on the future input costs. So what I said about hedging in '24 is that we will start to see the benefit on our procurement of the 2024 hedging costs from the beginning of the year. But because of the delay from the inventory, the benefit will only come to the P&L in the second half of the year. So just to make sure that, that was clear. On the DKK 200 million or so of integration costs, that will come out of the EUR 250 million of integration costs that we communicated back in December of last year. So there is no cost on top of that.
Charles Bentley: Very clear. And Lars, and good luck going forward.
Lars Green: Thank you, Charles.
Operator: The next question is from the line of Alex Sloane of Barclays.
Alex Sloane: Firstly, just on Bioenergy. Sorry, I missed the start of the call. But I wonder if maybe you could elaborate on what proportion of the growth there year-to-date has come from second-generation expansion and how sustainable you see that driver into '24. And the second question, just on the merger. I mean one of the things you and Chr. Hansen have talked about is the possible potential to accelerate in-sourcing of HMOs using the Novozymes network. I think they currently have quite a big drag on profitability due to that outsourcing. Is that something the 20 work streams have already been looking at? So we can assume it can hit the ground running on day 1, or is that work that's still to come?
Ester Baiget: Thank you, Alex. And I think that even you call in late, maybe you missed -- you got the very juicy part. So yes, it's 22 streams, the one that we have in place. I think it was Mauricio, the one that -- in the date of announcement, he mentioned that HMO actually could be a space that we would be -- that would be benefiting or a very good example of the strength of combining these 2 companies into 1. We are looking at all the opportunities in place on how we're going to cross-fertilize and maximize the toolbox that we're bringing of the 2 companies together. That means from bringing enzymes and microbes together into health, that means on how we can more effectively streamline and bring, yes, our expertise from fermentation on proteins, and also then, it could -- how we could deleverage into HMO. That means also on the cross-fertilization of existing solutions that we already have from one market into the other, like bringing food protective cultures from dairy into meat and bringing that preservation of food into the segments that were already present or the cross-fertilization of the solutions we have in Agricultural or in animal. It's a broad range of opportunities, the one that we are evaluating, the one that they get validated by the teams. And I can tell you that at this moment, we feel very, very pleased with the bottom-up definition of the synergies that the individuals and the teams from both companies have come in, confirming the assumptions that we made when we decided to embrace this journey and giving even full trust of our path to deliver on the growth synergies. And also the same would affect or impact from the cost synergies and the way that we're going to continue to improve the productivity and the way that we produce. And with that, I'll pass maybe the word to you, Tina, on Bioenergy.
Tina Fanoe: Yes. So Alex, it was not mentioned in the beginning of the call, so good question. On the second-generation ethanol, it is still a small part of the numbers, both if you look at the Q3 result as well as the year-to-date result. But it is in the numbers. And as we have talked about before, when it is in the numbers, I'll mention it because it will remain being bumpy. But that being said, it is a growth driver which is also expected to continue in the years to come. We see very good development, I think, the hotspot for second-generation biomasses in Latin America, but it's not the only place where traction is being hit. Both in China as well as India, also developments are happening, and lately also, some announcement from the U.S. and Europe is even also there. But Latin America is the hotspot for it. But you should expect it to continue to be a driver, but it is still small numbers.
Ester Baiget: Thank you, Tina. Thank you. There is no – operator, are there any more questions on the line?
Operator: No, there are no further questions.
Ester Baiget: Excellent. So that means that probably we answered all the questions in place, and I'm looking forward to continuing the dialogue with many of you in the next coming days. And thank you for a very good session. Thank you. Bye.